Operator: Good afternoon. My name is Chris, and I will be your conference operator today. At this time, I would like to welcome everyone to the Nevro Q1 2018 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Katherine Bock, Senior Director of Corporate Development and Investor Relations from Nevro, you may begin the conference.
Katherine Bock: Thank you, Chris, and thank you all for participating in today’s call. Joining me are Rami Elghandour, President and Chief Executive Officer; and Andrew Galligan, Chief Financial Officer. Earlier today, Nevro released financial results for the quarter ended March 31, 2018. A copy of the press release is available on the Company’s website. I’d like to remind you that on the call management will make forward-looking statements within the meanings of Federal Securities Laws. All forward-looking statements, including our discussions of operating trends and our expectations of future financial performance, including our full year 2018 guidance and our expectations with regard to profitability are based upon our current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ. Accordingly, you should not place undue reliance on these statements. See our filings with the Securities and Exchange Commission, including our quarterly report on Form 10-Q, which we expect to file today, for a description of these risks and uncertainties. Nevro disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. Conference call contains time-sensitive information and is accurate only as of the live broadcast today, May 7, 2018. And with that, I’ll turn the call over to Rami.
Rami Elghandour: Thank you, Katie, and thanks, everyone, for dialing in today. For today’s call, I’ll start with a review of our first quarter 2018 performance. Then I’ll discuss revenue guidance for 2018 and conclude with details on our commercial progress. Andrew will follow with a deeper review of the first quarter as well as expectations for 2018, then we’ll open up the call for your questions. Worldwide revenue for the first quarter was $87.6 million, an increase of 28% as reported compared to the same period of the prior year. U.S. revenue for the quarter was $70.6 million, an increase of 33%. First quarter international revenue was $17 million, representing an increase of 1% on a constant-currency basis. These results are driven by continued adoption and demand for HF10 as we continue to scale our organization to deliver our best-in-class therapy to more patients around the world. We are reiterating full year worldwide revenue guidance of $400 million to $410 million. Reflecting on our first quarter I’m confident in the fundamentals of our business and in our ability to achieve market leadership by continuing to deliver unique value to patients, physicians and payers. As we expected at our scale, our first quarter was marked by seasonality within the range of industry trends resulting in a sequential decline in revenue relative to our fourth quarter. Having said that, we remain in a dynamic growth phase and our ramping territories propelled us to deliver an industry high growth rate this quarter. We continue to drive optimization of our sales structure, territories and systems in order to deliver sustainable growth as we scale. I’m confident in our sales team and I believe our focus and investment in our sales organization will result in continued growth as we advance towards market leadership. I recently had the opportunity to spend time with our sales team in the field and from my conversations with them and our customers I saw both the real impact we’re having at our patients and the momentum we’re building in our business. One physician in particular noted how in his early experience with HF10, he’s had two patients completely eliminate their opioid medication, which is something he’d never experienced in his seven prior years utilizing low frequency stimulation. During this time when opioid addiction as a particular focus, the stories are reminder of the powerful role HF10 can play and providing clinicians with tool to manage this challenging condition. These types of stories highlight our advantage and the value we uniquely deliver. Through all my travel I met with a number of physicians who recently new to HF10 and we’re excited about the impact it is demonstrating for their patients and on their practice. This progress is a reflection of our sales team as well as our investment in leading clinical evidence. We’re advancing neuromodulation and physicians are taking note of Nevro as the only company committed to helping them treat a broader array of pain patients by investing in the necessary clinical evidence to elevate the field. We’re proud of the impact we’re having and look forward to supporting more physicians and having a more meaningful impact in their communities. Additionally we continue to leverage our HF10 matters campaign to drive more awareness of HF10 directly to patients and clinicians. One recent story that captures the impact of HF10 is the story of Kelly. Kelly is a very active 59-year old. He works full time alongside his wife managing the pet store they own and also looks after several of their dogs. His first spinal fusion was at age 21, eventually he developed chronic pain in his back and legs, which he’s been battling for the last 20 years. Kelly found that staying busy and constantly moving helped to distract him from his pain, but he also found that when he stop moving the pain really hit him. For the past 10 years, he use the traditional SCS system was provided him about 50% relief in the legs, however very little relief for back pain. He used it about two to three times for week, but wasn’t completely satisfied. That’s when his physician recommended doctor, Kelly replace his current stimulator with an HF10 system. Within days, Kelly was experiencing 80% relief of both back and leg pain which continues through this day and his sleep has improved with Kelly now sleeping consistently for the first time in 25 years. He stated I didn’t realize how much I was missing now that I had such great pain relief all of the time. Kelly story not only highlight the impact of HF10, it also demonstrates the robustness of the therapy and its ability to provide a benefit above and beyond traditional SCS. We’re committed to our mission, which has enabled us to touch the lives of over 31,000 patients like Kelly and help them live richer fuller lives. In Q1, we secured two key approvals that we believe will bolster our commercial progress. First, we secured approval for Senza II, our smaller profile IPG, which couples the full benefit of HF10 with the same battery longevity and industry best charging rate in a more refined package. We also secured approval for full body MRI compatibility for our Senza I system. Unique to our approach, this approval is retroactive and applies to every patient implanted with the percutaneous Senza I system to date. We are pleased to offer this additional benefit to our patients and proud to do it in a way that is inclusive of every patient we’ve had the privilege of supporting. On the clinical pipeline front, we continue to expand the reach of HF10 through our commitment to high quality clinical research. We’re currently enrolling in our painful diabetic neuropathy or PDN RCT and our European non-surgical refractory back pain RCT and are looking to initiate a U.S. non-surgical refractory back pain RCT in the near-term. Additionally, based on the results from our pilot studies across a number of indications, we continue to be tremendously excited about our pipeline. We’re in a unique position in medical devices, where we have an organic pipeline that is more typical in biotechnology and we’re poised to leverage it to enhance the lives of many more patients in need over the coming years. In closing, I continue to be excited about our near-term opportunity and the long-term potential of our company. We have incredible people in our organization that are driven to make a difference passionate about what we do and are committed to always doing the right thing. Those values have been the foundation of our success and recently allowed us to be recognized as one of the best places to work in the Bay Area. Notably, we are the only medical technology company on the list of mid-sized companies recognized, the reflection of building dynamic values driven high growth company in the field. I continue to be inspired by our mission and look forward to our expanding impact as we drive towards market leadership. And with that, I’d like to turn the call over to Andrew Galligan, our CFO for a more detailed review of our financials and guidance. Andrew?
Andrew Galligan: Thank you, Rami. Revenue for the three months ended March 31, 2018, was $87.6 million, an increase of 28% year-over-year on a reported basis. U.S. revenue in the first quarter was $70.6 million, up 33% from $53.1 million during the same period of the prior year. International revenue was up 11% to $17 million from $15.3 million during the same period of the prior year. This represents a constant currency growth rate of 1%. In international markets constraints, such as capitation and our increasing share result in lower growth rates than in the U.S. Gross profit for the first quarter of 2018 was $62 million or 70.7% gross margin, as compared to $46.4 million or 67.8% gross margin in the same period of the prior year. The gross margin improvement is primarily due to the absence of charging for inventory related write-downs in the current period. Operating expenses for the first quarter of 2018 were $77.7 million, an increase of 31% compared to the first quarter of 2017. The increase in operating expenses was driven primarily by increased headcount and related personnel costs, as well as legal expenses associated with the Boston Scientific intellectual property litigations. Legal expense in connection with those litigations was $8.6 million for the quarter, as compared to $2.4 million in the same quarter of last year. Net loss from operations for the period was $15.7 million compared to $13.1 million for the first quarter of 2017. Excluding the effect of the IP litigation spend in each period. We saw $3.5 million decrease or 33% improvement and net operating loss this quarter as compared to Q1 of 2017. At the end of the first quarter of 2018, we had $259.6 million in cash, cash equivalents and short-term investments. Cash used for operations during the period, excluding cash payments in relation to our IP litigation was less than $1 million. Turning to our guidance for 2018. We are reiterating worldwide revenue for 2018 to be in the range of $400 million to $410 million. As background, we continued to believe the U.S. SCS market should grow in the low to mid-teens. In our international business, we now believe that we can grow in the high single-digit to low teen constant currency rate for the balance of 2018. As our current guidance of $400 million to $410 million, we expect to continue to take share. For gross margins in 2018, we continue to expect margins to be in the 70% to 71% range. With regard to our operating expenses for 2018, we continue to expect to see a total of approximately $290 million to $300 million for the year, excluding litigation expenses. We have hired and will continue to hire experienced sales reps ahead of the revenue ramp and in support of our expansion of HF10. We additionally plan to continue investing in our clinical trials and development activities. Accordingly, we do not expect R&D to decline as a percent of revenue in 2018. As a result of our continued investment in the long-term success of our business and as our revenues and related gross profit increase, we expect to be around breakeven EBITDA for the upcoming full year, excluding litigation expense. Now back to you, Rami.
Rami Elghandour: Thanks, Andrew. So that will conclude our prepared remarks for today. Chris, please open up the call for questions.
Operator: [Operator Instructions] Your first question comes from Robbie Marcus with JPMorgan. Your line is open.
Robbie Marcus: Great. And thanks for taking the question. Rami, maybe I could start with market growth question. So when I look at the spinal cord stim market on our numbers for the first quarter, it looks like the market itself declined about 5% from fourth quarter and Nevro was down 13%. So when I think about that first as the market, maybe you could give us a little color of: one, what’s driving that; and two, how much of that was because of the very strong fourth quarter that Nevro had?
Rami Elghandour: Sure, Robbie. Maybe I’ll kind of step back and provide a little bit of context and then dive into, more specifically, your question. Obviously, as you mentioned, we’re coming off a very strong, in fact, a record quarter for us in the fourth quarter. And so we certainly would’ve hoped and expected for a little bit of a stronger Q1. But if you put that into context, we delivered an industry-leading 33% growth. That puts us on the path to guidance for the year, and that guidance for the year puts us on a path, certainly, to take share. So I think being in a position to deliver on our guidance and to deliver an attractive growth profile for the year is something, despite a little bit of a softness in Q1, we feel good about. In terms of the specifics on the growth rates, the reality is it seems like, obviously, we and some of our peers experience seasonality where others do not. So when you look at the average seasonality across the peer group, it could be a little bit misleading because depending on how others may manage their business, I mean one of our competitors in particular doesn’t seem to be experiencing seasonality at all as, in fact, have the same roughly revenue number for the – last four consecutive quarters. So it’s hard for us to make sense to that, to be honest. But we felt like our performance in Q1 was within the range of what we would have expected in seasonality. It turned out to be at the higher end of the range but still within the range of what we would’ve expected. So that’s kind of our perspective in the quarter.
Robbie Marcus: All right. And then maybe if you could talk about what you’re seeing in the market, you have Boston Scientific launching a new system. You have Medtronic launching a new system and Nevro just got approval for a new system in the first quarter. So maybe you could give us a little flavor for what you’re seeing in terms of the competition and then maybe how your new product can help Nevro in the quarters ahead? Thanks.
Rami Elghandour: Sure. Thanks, Robbie. Yes. I mean we don’t see any sort of meaningful change or material change in the competitive landscape. I mean the reality is that we’ve been commercial internationally for eight years and the U.S. for three years. And every quarter, there’s something, right? There’s some new launch or new talking point. And most of the time, it’s less our competition talking about their products and more talking obviously against our product. But the reality is that there’s really nothing in the competitive landscape that was different in Q1. And I think, again, think about of the world didn’t change all that much in the quarter, right? We’re just coming off a very strong Q4 and there’s really not a lot that we can point to, certainly from a competitive perspective that materially change or really is anything more than incremental in the first quarter.
Robbie Marcus: Okay, thanks.
Rami Elghandour: Thanks, Robbie.
Operator: Your next question comes from David Lewis with Morgan Stanley. Your line is open.
David Lewis: Good afternoon. Rami, so I’m just going to push a little more here in the first quarter. There’s a pretty dramatic growth disconnect between the fourth quarter and the first quarter. If the market is stable, it does look like you lost share this quarter for the first time in three quarters. I think investors kind of want to get a better flavor here for the first quarter. So do you believe that weather had any impact in this particular quarter? We’ve seen some seasonality across broader medical devices. It also does happen with the quarter where you did see a couple of competitive launches. And can you just give us an update on sort of sales force training, some of the new initiatives for your new sales leadership? Just to kind of push a little more here in the first quarter dynamic because I think for most investors, it’s going to look like to change and it doesn’t look sound like you see a material change.
Rami Elghandour: Sure. Thanks, David. Obviously, there’s a lot in there. I’ll do my best to address it. Look, again, yes, we don’t really – I mean we looked at that, obviously, as we do with every quarter. And outside of seasonality, we didn’t see anything that was different about this quarter than Q4. And again, just the world didn’t change that much in three months. We did a pretty deep dive into our business. And really what we saw overwhelmingly is our top customers that we feel very confident and are still predominantly Nevro were down in Q1 relative to Q4, and that explains the vast majority of it. I think you also have to look at kind of your territory ramps. And as we scale, and as we have a larger footprint, the kind of territories that are in the early ramp phase are, obviously, going to have less of an impact to offset seasonality than they would in prior years just because they’re a smaller percentage of your overall footprint. So outside of that, it’s certainly some of the seasonality. It’s always – it could be weather, it could be holidays, it could be just slow patient traffic. Whatever it is, it’s going to be idiosyncratic things for different customers. But again, it would certainly be easy for us if there was something beyond that to talk about. But in our estimation and in our analysis, there’s really not anything that we saw change outside of seasonality in terms of the impact for the quarter.
David Lewis: Okay. So just a kind of follow-up here on guidance. So it’s a slower start to the year. We saw a similar trend last year. Basically, the percentage of revenue in the first quarter last year looked similar to this quarter relative to the midpoint of your guidance range. But can you just talk a little bit about what gives you confidence in the $400 million to $410 million range given where you started? Is it simply just seasonality looks a lot like last year, maybe other factors that can give you confidence in that range? And then, Andrew, kind of related to this, your international guidance, did you take up international guidance even with the weaker first quarter and just maybe that’s true, some disadvantage around that? Thanks so much.
Rami Elghandour: Sure. Thanks, David. Yes. Look, I mean – again, we looked at a lot of things. I think the first thing is you look at your growth rate within the quarter and does that put you on a trend to achieve your view within your guidance for the year, and we certainly see that and I highlighted that in my comments, so certainly one thing. I think you look at your historical performance and exactly what you said, David, which is what percentage of your revenue tends to be allocated on a quarterly basis throughout the year, and you look at those trends. So that’s at least two ways. I mean we look at a couple of different ways here, what our year looks like in light of kind of the output of the first quarter. And we felt good about our guidance and that’s why we’re reiterating it. And I’ll ask Andrew to comment on your question regarding international.
Andrew Galligan: Yes. Sure, David. Yes, you picked up correctly. I think at the beginning of the year, we were more cautious about the international market than we are at present. We’ve had to look at how the New Year’s budgets in various of the territories we operate in have come together and are positioned vis-a-vis those budgets and now believe that actually over the balance of the year we’re going to be able to produce high-single digits, low-teen constant currency growth. And then obviously, we have from the reported basis, there’s some tailwinds from currency. But I think everybody in the industry has at the moment.
Operator: Your next question comes from Bob Hopkins with Bank of America. Your line is open.
Bob Hopkins: Yes. Thanks, and good afternoon. With apologies, just one more on Q1 here. You gave guidance for 2018. At the kind of the end of February and you seemed super confident at that point in the tone of the business, and so I assume just given their quirkiness, when you reported Q4 so late in Q1, that the issue with Q1 if it was a little bit slower than you thought it was going to be in the U.S. was primarily March. So it might be a little bit granular, but I’m just curious, is that an accurate kind of a way of thinking about it? And if, so any color around that?
Rami Elghandour: Sure, Bob. Look, I mean I think the way it actually plays out right as we reported I think in the third week of February, so you really have some – obviously, we have really strong visibility on January and you might have a week or so of February results under your belt that are clear and so on. So there’s certainly – I don’t think it’s quite as granular as you put it in terms of just March. But I do think that it’s not – the reporting calendar that I think it was on Thursday of the third week in February. So you’re not as far along perhaps as people tend to think. And again, I would say that we still are very confident in the business for the year. I think the results – again, it was very transparent at the beginning. We, obviously, would’ve hoped for a little bit of a stronger quarter coming off such a great Q4. But nothing has really fundamentally changed in the business. We feel good about it. We feel great about our people and where we’re taking the business this year and beyond. And so I don’t – notwithstanding kind of where we landed, it’s within kind of the seasonality range and it still puts us on track for guidance for the year.
Bob Hopkins: Okay, thank you for that. And then just as a quick follow-up, anything worth calling out in terms of the cadence of the quarters from here for the rest of the year? And Andrew, I’m sorry, I’m not sure I really understood the answer to David’s last question just in terms of why you’re boosting the guidance exactly for OUS. Thank you.
Andrew Galligan: OUS revenue is primarily driven by government run systems where what’s really important is what the budget availability for SCS is going to be, number one; and number two, where we think we are rechargeable versus primary sale. And we have more visibility now than we had back when we were issuing the overall worldwide guidance. So we think it’s appropriate to tell people that we’re going to be doing I think a little bit better internationally than we had expected to do a short while ago.
Bob Hopkins: Can you give anything on the cadence?
Andrew Galligan: I think we see – we’ll see a pickup in the second quarter that then continues each quarter.
Bob Hopkins: Okay. Thank you very much.
Operator: Your next question comes from Danielle Antalffy with Leerink Partners. Your line is open.
Danielle Antalffy: Hey guys, good afternoon, and thank you so much for taking the question. And sorry to harp on this but I do have a follow-up on Q1. Rami, two things. Number one, you mentioned high- volume Nevro users declined. Do you have any sense – so their total procedures declined or just their use of Nevro? And then my second follow-up here is just as it relates to some of the commentary around doing a little bit worse than you’d hoped, you have some level – or my understanding is that you have a number of lead time given trialing here. Have you seen a material shift in trial department and implant ratios given timing of when you reported Q4 versus now? Thanks so much.
Rami Elghandour: Sure, Danielle. Obviously, my reference was very specifically to overall procedure volumes. We didn’t see any or anticipate any change in share and the accounts that we’re in. And obviously, our share, we tend us to already have kind of a dominant share in a lot of the accounts that we’re in and that’s only grown with time. So in that regard, perhaps some of the seasonality impact was due to that larger footprint when those practices slow down overall. In terms of trialing, nothing really that I can comment on here. Obviously, what happens in Q4 is you tend to do more permanent implants, which kind of robs you of some ability to do trials in the fourth quarter that would help you in Q1. And you try your best to kind of replenish that and drive through the quarter, and obviously, that played a role in this as well, just their ability to more quickly replenish those and build up momentum intra-quarter relative to that record Q4. So there’s a little bit of that, I’m sure, as well. But I mean largely, we’re trying to do that in the face of the seasonality which the combination of the two things makes it difficult.
Danielle Antalffy: And just wondering if you could comment on all, did pricing have any impact here? Or has pricing been relatively stable? Thanks so much.
Rami Elghandour: Yes. No pricing impact at all on this quarter.
Operator: Your next question comes from David Turkaly with JMP Securities. Your line is open.
David Turkaly: Thanks. And I know you guys collect a lot of data on your patient by docs. And I was just curious – no changes as well just want to confirm and sort of the outcomes you’re seeing and explants or anything like that, just any color on sort of overall trend you’re seeing.
Rami Elghandour: No updates on fake news, Dave. So yes, our national trial success rate is still the same roughly since launch – I think the latest was 84% I think versus a historical 85%. So nothing – yes, nothing at all on those fronts. We continued deliver best-in-class outcomes to our patients and we uniquely are in a position to actually know that versus claiming to know that given the type of data we collect. And so we feel great about our therapy. We feel great about the long-term outcomes both in the real world as well as to our clinical studies, and that continues to be a big differentiation for us in the market.
David Turkaly: Great. And then a quick follow-up on the U.S. NSRBP trial. Any color you’d be willing to give us in terms of timing or size that would be great. Thanks.
Rami Elghandour: Sure, Dave. I mean we’re trying to get that off the ground. I think, obviously, we talked about the prior study. And I think we realized that having one combined study which is kind of we’re thinking somewhat at the beginning, we realize it’s just the health economic environments are sufficiently different that it’s best to kind of help through distinct studies instead, and so that’s kind of where we are. But we feel good about that study and the potential impact it can have. And obviously, part of the cadence it’s a little bit behind the PDN study but we hope to get it up and running as soon as we can.
David Turkaly: Thank you.
Rami Elghandour: Thanks, David.
Operator: Your next question comes from Joanne Wuensch with BMO Capital Markets. Your line is open.
Joanne Wuensch: That’s a new one for me, that you say my last name. Anyway hi. You’ve got a couple of products that you’ve come out. Your paddle lead came out in the middle of last year. You have a second generation product and you have an MRI-safe label. Can you give us a little bit of information on how you think about using that as a differentiated factor in a market that’s changing pretty rapidly with new product introduction?
Rami Elghandour: Sure, Joanne. Thanks for the question. Look, I think that we’re trying to do, and I think we’ve done exceptionally well when you look at our kind of the scaling of our business where we’re hopefully on track here to deliver a $400 million, $410 million business according to our guidance this year, we built a pretty significant business in a very short period of time and largely driven by the U.S. launch over the last couple of years based on differentiating our therapy, not the widget that delivers the therapy. So when we talk about product launches from our competitors and when we see them largely as kind of widget enhancement that ultimately clearly falls short of the therapeutic asset of our product, and so we work very hard not just from a – continuing to sell on our clinical evidence, but to the last question, differentiating based on the real world outcomes we can deliver and we can capture and we can share with the physician community. So we feel great about our ability to continue to differentiate our therapy relative to the competitive field. And certainly, the product offerings that we bring, like the paddle and the MRI and the Senza II are, I think just allow us to expand our footprint just by having an array of products that addresses some of the other cases that may prevent us from getting a particular patient like MRI, as an example. So I think those are enhancements but they’re not really core to necessarily marketing against our competition. I think marketing against our competition, first and foremost, comes down to that we deliver better therapy for every patient that we have the opportunity to treat.
Joanne Wuensch: And then as a follow-up, is it possible that maybe physicians were holding back waiting for the Senza II approval? And then can you give us an update on the diabetes enrollment? Thank you.
Rami Elghandour: Sure, Joanne. In terms of your first question, that certainly, again, was the case, in some instances, for sure. I mean when you know you have something coming up, there’s going to be a segment of physicians who prefer to – want have access to the newest thing. I think sometimes despite our best effort of reiterating that the therapy team delivered is exactly the same. So I think we did see some of that in the quarter certainly. And then in terms of the PDM enrollment, as I said, we kind of want to get through the midpoint of the year and kind of see where we’re at and we’ll try to provide an update on kind of environment on various studies in the back half of the year.
Joanne Wuensch: Thank you.
Rami Elghandour: Thanks, Joanne.
Operator: Your next question comes from Larry Biegelsen with Wells Fargo. Your line is open.
Larry Biegelsen: Hey guys, thanks for taking the question. Just wanted to clarify first, something you said earlier I think in response to – I think one of Bob’s questions. Andrew, you said you expect that pickup in the second quarter. Were you talking about the U.S., worldwide, dollars or growth rates?
Andrew Galligan: We’re specifically talking about international, and that question was specifically answering a question on international. So we’re talking about, yes.
Rami Elghandour: We talked about this before from a seasonality perspective, obviously, Q1 tends to be your weakest quarter in the U.S. and Q2 and Q4 tend to be the strongers quarter and Q3 somewhere in between. So I think we’ve covered that in the past and there’s no change in expectation there.
Larry Biegelsen: Okay, got it. And then I just wanted to ask a couple of more. So right, we’ve heard in Q4 about some stocking in the industry. And I guess I was just surprised is how strong Q4 was in general. Was there any validity to stocking just kind of I guess rumors in the market? And did that have any impact on Q1? And then just, Rami, I guess I’m curious to hear your thoughts on potential new competitor. I’ve asked about Saluda before, and their pivotal trial ends around May according to clinicaltrials.gov. I know it’s paresthesia based. Is there anything else you can share as to why you don’t see that as a threat? Thanks for taking the questions guys.
Rami Elghandour: Thanks, Larry. I mean just a clarification, when you talk about stocking. I assume you’re referring to our competitors’, correct?
Larry Biegelsen: I mean we’ve just heard about it in general that there were some stocking in Q4. So I don’t know if it impacted you or your competitors, the market. Any color on that? If it didn’t impact you, that would be good to know.
Rami Elghandour: Yes. I mean not that we’re certainly aware of. We didn’t see that as a factor in our business. Again, we looked at kind of the trends within our business and we saw them as seasonal in nature. Obviously, we didn’t have any stocking in Q4 that would have impacted us in Q1. So from internally for us, there was no impact. And from an external competitive perspective, again, not that we could certainly measure so – we’re aware. in terms of your competitive questions, look, there’s a lot, any time you have a company as successful as we are, and I’ve seen this a lot in the past, they’re going to get a lot of attempts at sorts of different approaches. But again, we feel we’re pretty differentiated with the only paresthesia-free therapy and with the superiority we’ve delivered and it’s hard for us to react other approaches until we see something to react to.
Larry Biegelsen: Got it. Thanks for taking the questions.
Operator: Your next question comes from Margaret Kaczor with the William Blair. Your line is open.
Margaret Kaczor: Hey, good afternoon guys. Thanks for taking the questions. My question initially, is on sales reps. And I know you guys aren’t giving your number of sales reps. But if we take some of the historical data that you gave us in the past regarding the number of rep adds, which seems like they have a nice increase in late 2016 and early 2017. As we look at the results now, have some of those reps become contributors or larger contributors to sales? Or they primarily focusing on some of these new territories that you referenced earlier in the call. And so more of their impact is still to come. How do we look at those hires? Thanks.
Rami Elghandour: It’s hard to kind of answer that question, Margaret. I mean the way – nothing’s really changed in terms of our sales folks come on board and ramp in the sense that they come into a territory, they try to build it up to a certain level that we’ve talked about in the past and as we approach that level from a revenue perspective. Additional resources are added in order to continue to take share, just as we’ve talked about in terms of the kind of sustainability of amount of revenue that any person can manage in this industry. So that really hasn’t changed. So I don’t – I’m not sure that’s answering your question or not, but I can’t really get into the specifics of what individual reps are, where they are in terms of particular territories depending on when they were hired.
Margaret Kaczor: Okay. So with that, I guess in mind, if we look at some of the new accounts that you guys are opening, some of the new territories that you’re opening. Has there been any change relative to the pace of those new accounts? Or those new territories relative to a few quarters ago? And are they, in terms of ramp, coming on at the same pace or faster relative to some a year ago that you account with. Thanks.
Rami Elghandour: Sure, yes. I mean, look, we feel good about the pace relative to our kind of expectation which we’ve talked about in the past. I think sometimes, depending on when people hit sort of their inflection quarter, if it comes to being a seasonally down quarter, it could be a little bit at the lower end of the range. If you hit your infection quarter and seasonally positive quarter, it could be sort of the higher end of the range. So it kind of bounces around within our expectation, but we certainly see people continuing to ramp well and we feel like we’re going to have a positive contribution throughout the year.
Operator: Your next question comes from Jason Mills with Canaccord Genuity. Your line is open.
Jason Mills: Thanks, Rami for taking the question. Can you hear me, okay.
Rami Elghandour: Yes. Hi, Jason.
Jason Mills: Hey. So just asking the sales rep question a different way, Rami. The operating expense growth, even backing out the legal expenses, is a little higher. So I suppose the question that comes to mind is whether or not perhaps you’re adding more new reps than we expected, which should be good, but wondering if you’re seeing attrition of maybe some – a few productive reps that are being backed up with newer reps and it is just takes, obviously, longer period of time for them to get up to speed rather to where the productive mature reps would’ve been. The question is generally about attrition, whether you’re seeing any change in the curve there.
Rami Elghandour: Yes. We haven’t seen any change the in attrition curve at all including Q1 and Q4. So in any given quarter, you obviously have your ramp. You’ve got your – some positive or negative impact of seasonality and then you’ve got your attrition factored in. And we didn’t see anything this quarter – this past quarter on Q1 that was different than we’ve seen in the past on that particular topic that would’ve explained the outcome.
Jason Mills: Okay. So it sounds like seasonality played a bigger role. But in terms of the general dynamics of how the sales rep – the sales force in the U.S. is being productive, not a discernible change from the trend lines? Just a follow-up to that.
Rami Elghandour: Correct, yes. In other words, the attrition that we’re seeing, it was within what we’ve modeled but helped us arrive at the guidance that we provided for the year. So have we not had the – say somehow, we had lower attrition in 2017, I wouldn’t say it necessarily in Q1, but throughout 2017, than we actually had, then maybe our guidance would’ve been different, positively higher. But kind of modeling out what we’ve experienced, and reality in Q1 was consistent with that experience, there’s sort of no net impact on our view of the year or a contribution to Q1. Does that make sense?
Jason Mills: It does. It does. And just lastly for me on the other clinical trials, I’d wanted to push a little bit harder on the PDM study. Based on your senior role [indiscernible] they would suggest there’s a lot of excitement about there’s very little that works and could be because of that and because of the size of the patient population there, unfortunately, suffers from this conditional, a large growth opportunity for you. So has enrollment started? And if so, what sort of trends early days have you seen here?
Rami Elghandour: Yes. Enrollment has started in the PBM study, and look, it’s kind of early. So there’s a lot of tactical things that you’re doing at the beginning of starting a study like this. Not every site sort of lights up in terms of coming online at the same time. There’s a lot of sort of training at the beginning that’s intensive from our team in terms of making sure that the patient sent in match the inclusion and exclusion criteria. So there’s a little bit of a learning curve and so on. So it’s hard to kind of handicap it right now because you’ve got all these dynamics kind of happening and that’s why we wanted to give it some time before we have kind of a more accurate view of the trend line and kind of giving folks an update on when we would expect enrollment in data.
Jason Mills: Okay, great. Thanks.
Rami Elghandour: Thanks, Jason.
Operator: Your next question comes from Suraj Kalia with Northland Securities. Your line is open.
Suraj Kalia: Good afternoon, everyone. So, Rami, one question for you, one for Andrew both on OUS sales. So Rami, one of the things we keep hearing in international markets, and this is not reflective of market shares, it’s just more anecdotal qualitative information that has come up in recent field checks. Is the desire to model it between different waveforms? And a number of key clinicians keep telling us, hey, we love some of these newer platforms that are coming out. We can just switch. I love to get you guys’ perspective on what you’re seeing in terms of dynamics. And Andrew, for you specifically, the mid or rather high single-digit to low teens on a constant currency basis, can you stratify that in terms of what the net FX impact is year-over-year in your outlook and if any Senza II ASP changes? Thank you for taking my questions.
Rami Elghandour: Thanks, Suraj. I mean look, in terms of your first question about the – what’s called, what I’d call kind of the option strategy, right, that’s been deployed by at least two of our three competitors, that’s just I think a marketing message. So it depends on who you talk to. I think if you talk to physicians that we haven’t yet converted that are heavily in the camp of one of our competitors, they’re more likely than not to say that, that’s a key factor for them. But it’s something obviously that we overcome on a pretty regular basis in pursuit of our growth and our goal here. So it’s not something, frankly, that we consider as new or particularly not different at this point. We’ve been saying that for the last couple of years and we’ve been overcoming it and as an objection and doing well. Andrew, if you want to comment on the international.
Andrew Galligan: Sure. A little bit complex there. You can see that the impact of currency quarter one and quarter one was about 10% and that’s because current FX rates are significantly better than they were in Q1 of last year. Then the currencies recovered over the balance of 2017. So if you mix all of that together, a modeling things, but on average 2018 over 2017, all other things being equal, currency is probably a 5%-ish tailwind on reported numbers on average over the year. And then you add to that kind of high single low teen constant, and that combination is our current thinking.
Suraj Kalia: Thank you.
Operator: Your next question comes from Isaac Ro with Goldman Sachs. Your line is open.
Isaac Ro: Good afternoon. Thank you. Just a question for you on guidance. Just thinking through prior year periods where you had – as you pointed out stronger 2Q, 4Q results. Can you help us reconcile what’s embedded in your reiterated full year guidance for 2Q this year? Because prior year, as you did about 24% of full year revenue in the second quarter. But I think if you were to come in on midpoint of your range, annualize it 4 or 5 and do 24% of that in 2Q, that would be under $100 million of rev. So obviously, that would require a pretty big acceleration in the back half. So just trying to reconcile kind of the expected acceleration throughout the course of the year relative to prior year seasonality.
Rami Elghandour: I think I’ll maybe answer this a little broadly. I think that we – there’s kind of a reason we don’t give quarterly guidance. We have a pretty good fidelity on annual number, I think as we demonstrated through our history as a public company. But there’s just – especially if the scale that we’re at this year for the first time, there’s – we want to be a little bit careful about – nuance numbers around specific quarter. So I think we’ve given the general trend for the year that’s consistent with prior years, but we don’t really want to comment specifically on percentages per quarter on a quarterly basis going forward for the rest of the year.
Isaac Ro: Okay. And then just a follow-up on Senza II. Can you help us think through what’s embedded in your full year guidance in terms of contribution from that product? Obviously, it’s probably a little early this quarter to measure the impact. But as we think about the whole year, how important is that to hitting your goals for the revenue? Thank you.
Rami Elghandour: Yes. Again, we’re not going to get into that level of granularity in terms of our guidance. We feel good about it. And obviously, overwhelmingly, what’s going to drive our guidance is performance by our team. It’s not going to be kind of factors on the margin and some of these product introductions that we talked about.
Isaac Ro: Got it, thank you.
Operator: This concludes the Q&A session for the conference. I’d now like to turn it back to Rami for any closing remarks.
Rami Elghandour: Great. Thanks, Chris, and thank you all for joining the call today. We certainly appreciate your continued interest in Nevro, and look forward to our next progress update. Have a great day.
Operator: This concludes today’s conference call. You may now disconnect.